Operator: Good morning. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to the Rite Aid Corporation Third Quarter Fiscal Year 2023 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Byron Purcell, Vice President, Investor Relations and Treasurer, you may begin your conference.
Byron Purcell: Thank you, Rob, and good morning, everyone. We welcome you to our fiscal 2023 third quarter earnings conference Call. Heyward Donigan, President and Chief Executive Officer; and Matt Schroeder, Executive Vice President and Chief Financial Officer, will begin the call with prepared remarks; Andre Persaud, Executive Vice President and Chief Retail Officer; and Chris DuPaul, Chief Operating Officer of Elixir will also join the call during the question-and-answer session. As we mentioned in our release, we are providing slides related to the material we'll be discussing today. These slides are provided on our website, investor.rideaid.com. While management will not be speaking directly to the slides, these slides are meant to facilitate your review of the Company's results and use as a reference document following the call. Before we start, I'd like to remind you that today's conference call includes certain forward-looking statements. These forward-looking statements are presented in the context of certain risks and uncertainties that can cause actual results to differ. These risks and uncertainties are described in our press release in Item 1A of our most recent annual report on Form 10-K and in other documents that we file or furnish to the SEC. Also, we will be using certain non-GAAP measures in our lease and accompanying slides. The definition of our non-GAAP measures along with the reconciliation to the related GAAP measure are described in our press release and the slides. With that, let me turn the call over to Heyward.
Heyward Donigan: Thanks, Byron. Good morning, everyone, and I just want to thank you for joining us today, and welcome to our third quarter earnings call. The third quarter came in better than consensus on both revenue and adjusted EBITDA despite the continued challenging macro conditions. There were some clear positives, but I'll give you, there's also some challenges. And then for me, I want to share some key takeaways with you. I'll go into more detail on these combined with some discussion on some exciting new initiatives that I believe will set us up for success going forward. But first, a quick review of our third quarter results. Revenue for the quarter was $6.1 billion compared to $6.2 billion in the same quarter last year. The third quarter adjusted EBITDA was $121.9 million compared to last year's adjusted EBITDA of $154.8 million. In our Retail Pharmacy business, total revenue decreased 0.5% from the prior year, driven by the expected reductions in COVID vaccines and COVID testing revenue in addition to the store closures that we've discussed. Results on a same-store basis are encouraging, with improved growth rates in all key categories in the third quarter year-over-year. Overall, same-store sales increased 7.5% and with pharmacy sales increasing 9.5% and front-end sales when excluding tobacco, grew 2.7%. Total same-store prescriptions increased 4.4% and when excluding COVID immunizations, prescriptions increased 3.6%. Same-store maintenance prescriptions increased 2.1% and same-store acute prescriptions increased 8%. We also improved our overall prescription market share by 20 basis points for same stores bringing us to over 11% share in the markets in which we operate. This is a testament to the high performance of our front-end and pharmacy teams, their customer relationships and even in this challenging labor market. Demand for flu immunizations and COVID vaccines in the quarter were both weaker than we expected consistent with trends in the overall industry. The demand for bivalent COVID vaccines has been less than we anticipated, and we expect that weakness will continue into the fourth quarter. However, due to one of the strongest flu seasons we've seen in decades, we expect a longer tail to the flu immunization demand and into the fourth quarter. We expect to finish the fiscal year administering approximately 5.2 million COVID vaccines and 2.7 million flu vaccines. Turning to the front-end, we're pleased to post market share gains of 20 basis points in the third quarter. Front-end same-store sales were aided by good results in health, consumable and the beauty categories, offset by underperformance in alcohol and general merchandise. Shrink for the quarter was $9 million worse than the prior year's third quarter. We expect shrink to be a continued headwind in the fourth quarter. Additionally, we're seeing signs the consumer is remaining cautious particularly in demand for discretionary seasonal products, which has driven increased markdowns. However, high demand for cough, cold and flu products has resulted in higher out-of-stocks. You've probably heard this in the news. Turning to our Pharmacy Services business in the third quarter, Elixir reported revenues of $1.7 billion compared to $1.9 billion for last year's third quarter. This was primarily due to a planned decrease in Elixir insurance membership and a previously announced PBM client loss on 1/1 22,] partly offset by a combination of higher drug spend and utilization. Elixir's third quarter adjusted EBITDA was $40.2 million versus last year's third quarter adjusted EBITDA of $28.9 million due to strong procurement economics as well as a reduction in SG&A expense. Procurement economics refers to contributions from an expanded set of solutions, including plan design and administration formulary and rebate management services, network performance management and specialty and mail order pharmacy purchasing. These services add economic value economic value to our clients and also to Elixir. As we look ahead to the fourth quarter, we expect some of the negative trends that we experienced in our retail business in the third quarter to continue. This includes lower pharmacy margins due to drug mix weaker consumer demand for discretionary items, which will likely result in higher seasonal markdowns as well as continued higher shrink expense. As a result, we're reducing our adjusted EBITDA guidance to $410 million $440 million for the year, down from $450 million to $490 million previously reported. This guidance reduction is concentrated on the retail side of the business. The key takeaway is that while we're seeing good script and front-end sales growth in our retail business and strong operational results at Elixir, we remain challenged by retail margin pressures because pride in the way we mobilize to continue to serve our communities during COVID. Now that the pressures of the pandemic are easing, we're working to bring that same call to action that same agility and strong execution back to driving growth and performance in the core business. The core drivers of growth include script growth with a focus on adherence, smaller-format store launches digital engagement, growing our loyalty membership and driving increased own brand penetration. We are also laser-focused on the long-term growth of our PBM membership with development of a strong pipeline for the 2024 selling season that is already underway. At the same time, we will continue to reduce costs and free up cash. We are focused on adherence with our Courtesy Refill Program 1.2 million new customers have enrolled in our program since June. As a result, we're seeing a 1% increase in adherence scores for our Medicare book of business. The value we're seeing from these adherence initiatives reinforces the growth potential with our current customers. Also, we have a central fill facility that currently serves over 800 stores. This facility helps us dispense a higher volume of maintenance medications outside the stores, thus freeing up our in-store team for increased script growth and the delivery of enhanced clinical services. We're planning to expand our central fill capabilities to service the remainders of our stores in the coming year. We're introducing technology and innovation to streamline core non-dispensing tasks such as inventory management, automating customer prescription transfer requests and taking non-pharmacist calls out of the stores. We're bolstering our centralized pharmacy teams to include additional clinical support for customers through our Medication Therapy Management Program, or MTM, as we call it. So our in-store pharmacists will always be available to counsel and support our customers. That's crucial. But growing a centralized pharmacy team allows for additional touch points with our customers. And by growing our MTM program, we'll increase the number of medication interventions that focus on preventing or reducing drug-related risks, increasing customer knowledge about over-the-counter and prescribed medications and supporting good habits to become or stay adherent to drive regimens. That's crucial to good health and preventing hospitalizations. And finally, this is all the first step of putting a pharmacist in your pocket. A virtual alternative to allowing customers to be able to access our pharmacy teams anywhere and anyhow. We're also upgrading our proprietary pharmacy workflow technology to streamline the user experience for pharmacists and increase operational efficiency. These enhancements include the expansion of remote quality assurance, remote data entry and problem resolution and centralized support for other prescription filling functions. Additionally, we just launched our first two small format stores in Virginia. We believe these are a great way to expand and complement our footprint and better serve our communities. We have strong momentum in our digital business with sales up 65% year-to-date over last year and healthy margin contributions as well, up over 50% in EBITDA from prior year. Our loyalty program also delivered strong results with 500,000 new members enrolled in the quarter. Rite Aid Rewards members spend 34% more on their front-end basket compared to non-members. We also had 300,000 members create digital accounts in the quarter. Our new own brand portfolio also continued to grow. We've talked about this before. We now are at 64% of our planned new own brand SKUs rolled out into the store year-to-date. The owned brand sales comp growth was 8.1% in Q3 year-over-year and up 67 basis points in penetration. Not only are our own brands more affordable and higher margins. We believe this growth shows the promise of our new packaging and our new brands that are appealing to our target growth customer. Q3 once again demonstrated the ability of our Elixir business to generate increased EBITDA on a year-over-year basis, despite a significant decrease in lives going into the plan year. The performance was the result of consistent execution of our management plan put in place during Q1 of FY '23 and to increase our EBITDA margins through improved profitability and strict control over SG&A. We are on track to achieve our Elixir guidance of $145 million to $155 million for the year. Moving into Q4, we will cycle through significant membership losses on 1123, resulting in a net decrease of 700,000 members. This change in lives is attributed to one large client loss that was previously disclosed and an expected reduction in Elixir Part D membership as a result of bidding above the benchmark in 23 of our 34 regions. We are aggressively working to adapt our cost structure to the lower life count, and we'll provide more details when we issue guidance for FY '24. We are taking action to improve and accelerate our performance and business execution across Rite Aid. While we're gaining real traction on many of our strategic initiatives, we recognize that we have to do more and faster. We have -- that's why we've launched a new performance acceleration program. We've already mobilized and trained over 400 associates on this new approach to fast-tracking initiatives that will improve business discipline and drive outcomes that increased growth and profitability. We will approach these initiatives with a focus on prioritizing our limited capacity and capital, and we will closely measure and track execution to build needed internal capabilities and processes. While it's still early days, we have already identified hundreds of opportunities and initiatives that will improve sales and script volume, expand our operating margins and free up cash. We see a real potential for this to drive performance through FY '24 and beyond, and we will share further details and expectations during our next earnings call. To close, we're encouraged by our strong script growth, our increasing front-end sales comps and solid Elixir results. We're focused on the acceleration of initiatives that will propel the growth of our business going forward. We're leveraging a new model to identify and manage initiatives positively impacting our operating results. We're committed to creating long-term value for our shareholders, as we execute on our performance acceleration initiatives and grow our modern pharmacy business. With that, I'll turn things over to Matt.
Matt Schroeder: Thanks, Heyward, and good morning, everyone. As we have said previously, paying down debt, maintaining strong liquidity and effectively managing our capital structure are top priorities for the Company. During and just following the quarter, we completed two transactions to help us achieve these objectives. In October, we completed a securitization of approximately $170 million of our 2022 CMS receivable, which represents the amount of the receivable that accumulated between January 1 and June 30, 2022. This transaction preserves available borrowings under our revolving credit facility and was done at a rate similar to the rate that we incur on our revolver borrowings. We expect to securitize the remainder of the 2022 CMS receivable before the end of our fiscal year. In November, we launched an additional tender offer focused on our 2025 bonds. Through this transaction, we paid down over $165 million of our 2025 bonds at a discount and lowered our overall debt outstanding by approximately $40 million. This also brings an additional benefit of interest savings as we are replacing these bond borrowings with revolver borrowings, which have a lower interest rate. In order to partially mitigate the impact of the tender offer on liquidity, we expanded our ABL revolver from $2.8 billion to $2.85 billion and increased the FILO term loan from $350 million to $400 million. These expansions added $100 million of availability in total under our senior secured credit facility. We have lowered the amount of outstanding debt on our 2025 bonds, which is our nearest debt maturity from $600 million at the beginning of the year to $320 million after the completion of our latest tender offer. We had over $1.3 billion in liquidity at the end of the third quarter and expect that number to improve at fiscal year-end as we reduce our seasonal build of inventory and complete the remainder of the calendar 2022 CMS receivable securitization. Now I'll review our third quarter results in more detail. Revenues for the quarter were down $145.5 million or 2.3% from prior year's third quarter, driven by a decline in COVID testing and vaccine revenue, the impact of store closures and lower membership at Elixir. Third quarter net loss was $67.1 million or $1.23 per share compared to last year's third quarter net loss of $36.1 million or $0.67 per share. The increase in net loss in the current quarter is due primarily to a decrease in adjusted EBITDA, an increase in interest expense and an increase in restructuring charges. These items were partially offset by a reduction in facility exit and impairment charges. Now, we'll discuss the key drivers of operating results in our business segments. Retail Pharmacy segment revenue for the quarter was $4.4 billion, which was $20.3 million lower than last year's third quarter, driven by the decrease in COVID-related revenue and store closures partially offset by an increase in both maintenance and acute prescriptions. Retail Pharmacy segment same-store sales increased 7.5% and with increases in front-end same-store sales, excluding tobacco of 2.7% and in same-store pharmacy sales of 9.5%. We administered 1.9 million COVID vaccines in the third quarter of fiscal 2023 compared to $4 million in last year's third quarter. We also cycled a reduction in PCR testing demand from $1.2 million last year to $68,000 this year, offset somewhat by the impact of increased antigen testing sales. Outside of COVID vaccine impact, maintenance scripts were up 2.1% and acutes were up 8%. The third quarter Retail Pharmacy segment adjusted EBITDA was $81.7 million or 1.9% of revenues compared to last year's third quarter adjusted EBITDA of $125.9 million or 2.8% of revenue. The decrease in adjusted EBITDA and EBITDA margin is attributed to lower COVID vaccinations and testing and higher shrink results, partially offset by increased non-COVID prescription volumes and reduced SG&A. Retail Pharmacy segment adjusted EBITDA SG&A expense was $81.2 million or 173 basis points better as a percent of revenue than the prior year third quarter due to lower payroll, occupancy and other operating expenses, driven by store closures and our cost reduction initiatives. We are on target to achieve the $190 million in SG&A savings in FY '23. Shifting to our Pharmacy Services segment, Elixir, in the third quarter, Elixir saw revenues decreased $132 million or 7.1% to $1.73 billion due primarily to a planned decrease in Elixir insurance membership and a previously announced client loss, partially offset by increased utilization of higher-cost drugs. Elixir's third quarter adjusted EBITDA was $40.2 million or 2.3% of revenues versus last year's third quarter adjusted EBITDA of $28.9 million or 1.6% of revenues. The current quarter benefited from increased gross profit resulting from procurement economics and network performance management as well as a reduction in SG&A expense, partially offset by the decline in revenues associated with lost clients. Turning to our cash flows and balance sheet, our cash flow statement for the quarter shows a source of cash from operating activities of $132.6 million, driven by the sale of the first part of the 2022 CMS receivable. Cash used by investing activities was $40 million for the quarter. Included in investing activities were script file sales attributed to our store closings and sale-leaseback proceeds. Our net debt balance was approximately $3.1 billion at the end of the quarter as we continue to build the CMS receivable and seasonal inventory in our regional business. We expect our leverage ratio to be around 6x by the end of the fiscal year and to generate positive free cash flow for the year. Now let's turn to guidance. While we saw good top line results in our retail business, we are seeing greater-than-expected pressures on retail margins. Pharmacy margins are expected to be lower than previously forecast due to our actual mix of generic dispense having lower sales values than planned. In addition, our front-end margins will continue to be pressured by cautious consumer demand and the related impact on seasonal markdowns and higher than forecast shrink. Based on these factors, we are lowering our adjusted EBITDA guidance for the year. Adjusted EBITDA in the Retail Pharmacy segment is expected to be between $265 million and $285 million. Adjusted EBITDA of Elixir is expected to be between $145 million and $155 million. We expect the procurement economic improvements in SG&A trends that we saw in Q3 to continue through the remainder of the fiscal year, partially offsetting the reduction in lives that will occur on January 1. Total revenues are expected to be between $23.7 billion and $24 billion, adjusted net loss per share is expected to be between $2.18 and $1.78 per share. Capital expenditures are expected to be approximately $225 million. We continue to make investments to grow our business, including pursuing prescription file purchases and investments in digital. We also continue to seek to enhance our efficiency by automating our supply chain and transforming our processes and technologies at Elixir. Interest expense is projected to be $220 million and reflects the impact of the latest round of rate increases announced last week. We expect to generate positive free cash flow to continue to pay down debt. This completes our prepared remarks. Rob, could you please open the phone lines for questions.
Operator: [Operator Instructions] Your first question comes from the line of Elizabeth Anderson from Evercore ISI. Your line is open.
Elizabeth Anderson: Maybe just I apologize if I missed this while you were talking. In terms of the $190 million in savings for the quarter, can you just sort of talk us through where you are on that, sort of where the future pockets of opportunity are, and how we should think about that exiting the FY '23?
Heyward Donigan: Yes. Elizabeth, it's Heyward. And I'll let Matt answer. This is largely complete. Matt, you want to just update on that savings target?
Matt Schroeder: Yes. Thanks, Elizabeth. Yes, we are on our way certainly to hitting our target of $190 million in SG&A savings for the year. And I think you saw a pretty sizable savings number year-over-year in the third quarter of this year in both the retail business but also in the Elixir business as we made some real efficiency improvements and manage through the reduction in lives. As we think about next year, still a lot of work to do on building out our plans for 2024. But we'll continue to look at opportunities to close stores. We'll continue to look at opportunities to rationalize our labor and we've got a lot of opportunities around getting more efficient on procurement and indirect procurement that are coming out of some of the work. The initiative work we're doing that Hayward described. So more to come, but certainly looking at further cost reductions in 2024.
Heyward Donigan: Yes. I think with the emphasis Elizabeth being on Elixir because of the lives lost, that will have to be addressed. So, that's the main -- that procurement are really the main opportunities for next year.
Elizabeth Anderson: Got it. No, that makes sense. And it looks like at least on sort of my math here that your core profitability like was much closer to sort of like 1Q levels in terms of dollar versus last quarter. But I just wanted to check that I had two things, right? On the OTC test, when you said the antigen tests were increasing, did you mean sequentially you're on a year-over-year basis?
Matt Schroeder: They're increasing on a year-over-year basis, but they're also a little bit up sequentially as well, particularly in the last couple of weeks of the quarter, and I am really in the first couple of weeks of the fourth quarter as well.
Elizabeth Anderson: Okay. Got it. And then flu testing, you would -- or sorry, flu vaccine, you would say, 3Q over 3Q were about flat?
Matt Schroeder: Flat, yes. Yes. I think as we think about the fourth quarter, Elizabeth, what we're kind of seeing from a flu vaccine standpoint is anticipating a slightly better than prior year fourth quarter, but not dramatically so.
Elizabeth Anderson: Got it. No, that makes a tenant very helpful.
Operator: Your next question comes from the line of George Hill from Deutsche Bank. Your line is open.
George Hill: I guess, Matt, on the change in the guidance in the Pharmacy Services segment, you talked about the mix of generic the spend as being part of the issue and kind of pharmacy margin pressure. I'm just wondering if you can disaggregate that a little bit. And I guess I'm wondering, if you can kind of bucket into what are we seeing it from reimbursement from payers how much of it is lower margin in the mix? And I'll kind of pause there and then come back.
Matt Schroeder: Yes. Thanks, George. So with regards to the pharmacy margin headwinds that we're looking at and really the piece that drove a component of the guidance change. What we've seen is an increase in generic dispensing, which is positive for us. That's a good thing. But the mix of drugs that we've dispensed in that kind of generic mix has resulted in a lower recovery rate than what we previously modeled. So it's really -- it's more -- it's mix. It's not actual rate changes from our PBM partners. We don't expect this mix issue to persist in the next year.
George Hill: Okay. That's super helpful. And then my follow-up question on that is you guys talked about procurement. I guess we go a little bit more into that? Are we talking about the procurement of drug products in particular? Or are we talking about front-end products or kind of like I'm wondering if you can kind of bucket what is the opportunity for savings in procurement?
Matt Schroeder: Yes. I think we've used the procurement in a couple of different ways. So on the call on -- in reference to Elixir is really a combination of both drug purchasing, especially but also network management, rebate management and just kind of managing the best -- better managing the spread between what we kind of get in, in various contracts and what goes to clients while at the same time, of course, being very competitive in the market and with our clients. On the retail side, a lot of opportunity that we see into next year around procurement for indirect, so think of that as like not for resale non-payroll SG&A spend. And with an addressable spend volume that we have about $1.3 billion in the retail side, there's a lot of opportunity for improvement there.
George Hill: Okay. That's helpful. If you sure with two more quick ones, are the shortages of amoxicillin and Tamiflu meaningful and then are the sale leaseback proceeds that you guys called out? Is that just an earnings contribution, a cash contribution or both?
Heyward Donigan: I would say let me start by saying. Go ahead, Matt.
Matt Schroeder: Go ahead, Heyward, please. Sorry.
Heyward Donigan: We really aren't having any significant experience issues with the amoxicillin or the Tamiflu, although you could probably hear this morning a number of people talking about that there certainly are some pocketed challenges. I think for us, the bigger issue is the over-the-counter drug supply chain issues. And then Matt, you can answer the second question.
Matt Schroeder: Yes. So George, the sale-leaseback proceeds that we're referring to are a cash benefit. They had nothing to do with -- there's a small gain on assets that's non-EBITDA. That's part of that. But the main benefit is the cash benefit. And the proceeds we had for sale leaseback, this quarter, it was about $10 million.
Operator: Our next question comes from the line of Lisa Gill from JPMorgan. Your line is open.
Lisa Gill: Matt, if I can start with just a couple of numbers questions. So one, when I think about fiscal '23 and the current guidance, can you talk about how much you have in there for COVID in general. I mean every quarter, we've talked about numbers and we talk about the swing factors of those numbers. But as we sit here today, can you give us a total number? I'm just trying to think of what the core business looks like as we think about '24 would be my first question.
Matt Schroeder: So Lisa, we have -- I think as we said in the script, we have about $5.2 million in COVID vaccines kind of modeled out for the year. That's the big is by far the biggest COVID factor. PCR tests have really fallen off to almost a negligible number. And then on the antigen test, we've seen a level of management test disbursement as we talked about, that's a little bit higher than last quarter. Those are really kind of the main factors.
Lisa Gill: And so if I think about that, right, so think about the $5.2 million at roughly $15-ish EBITDA, is that still the right number to think about -- when we think about the COVID vaccinations. And again, it may carry-forward into 2024, but I'm just trying to think about the core business.
Matt Schroeder: Yes, we've been using $20 million as a proxy for EBITDA for the COVID vaccines. I think that's the right number to use.
Lisa Gill: And then as I think about the fourth quarter and I think about the $30 million swing factor, you talked about a number of things, whether you talked about the mix of generics, I think that you talked about the shortage on the over-the-counter side. Is there anything that you can help us -- I mean it's already in December, right? So you only have a couple of months left. Is there anything you can point out when we think about the swing factor on either end? Or is it kind of a midpoint that you're more comfortable with? Any color would be helpful as we think about modeling the fourth quarter.
Matt Schroeder: Yes. Yes, Lisa. I mean we try to pick a guidance range every quarter. There really is an estimate of a low and high end of the most likely possible outcomes. And that's what we've tried to do in the $410 million to $440 million. As far as like what could swing the number around, I think what could swing the number to the high end of the range and to the good way is if we continue to see strong straw flu prescriptions. If COVID and flu vaccines are a little bit heavier than what we thought and a lot will depend on how we do on the front-end and the Christmas season with OTC. But if we continue to see like pretty strong demand on OTC and flu, then you're probably looking at something that's a little bit on the higher end something that gets you probably to the lower end or COVID and flu vaccine demand dropping off a flu shot. And then certainly, markdowns and shrink continue to be things that we're looking very hard at from the standpoint of the front-end business. And those are probably the swing factors. If things go bad in those areas would get you more towards the lower end.
Lisa Gill: And then I guess my last question just would be kind of longer term, Heyward, this would be more for you, I guess, as we think about your comments on the PBM membership and the potential positive for 2024, really two questions there. One, can you maybe size the RFP opportunity that you see for 1124 ? And then secondly, do you see any midyear start opportunities in calendar '23?
Heyward Donigan: Well, first, I'd say that we -- it's so early. And right now, we're selling into 1124. There are always some midyear opportunities. I wouldn't consider them at this stage, big enough to swing things one way or the other. The big business, the bigger business and the bulk of the business is going to be 11. But we are launching our Laker Software as a Service business. We just hired a new sales leader there. We are also deep into the mid-market business, the public sector business, and we're showing a significant amount of interest from the national practice leaders who have -- we had almost every pharmacy national pharmacy business, national practice leader come visit us at our collaboration center a few months ago. And to a person, I would say very, very interested in supporting Elixir as a credible alternative in our target markets. So but we have a big road to climb here. We have a big hill decline because of this loss of this one client and the Elixir Insurance business, which we had planned for that, but so SG&A is goal one is to get the SG&A right-sized at the same time so that we can impact next year, and then at the same time, really both maximizing our margin opportunities and our procurement economics alongside of really trying to get that sales season to beat this year's sales season on a sequential basis.
Lisa Gill: And if I could just squeeze one in just as you're talking about that. So, the 700,000 lives that will move off your platform for January 1 to '23, we lose any of your leverage or purchasing power for the PBM? And then secondly, should we think about that as being kind of normal margins on those lives? Or is there anything else that we should take into account as we're thinking about that? And I know I'm asking a lot of questions trying to figure out '24 with wanting to give '24, but we just want to start to think about how to model some of those?
Heyward Donigan: Okay. So Chris, why don't you answer that?
Chris DuPaul: Yes. Look, as we go into '24, those lives are split between the large client loss and the Elixir insurance book of business, and we run those two parts of the business through different sets of paper. We're continuing to push through on the changes that we've made and how we handle our rebates and our rebate economics. And we've been very pleased with what that has done for the business this year in terms of our ability to be competitive. We consistently are finding ourselves, when we get into finalist meetings with a very competitive and compelling offer on the table. And we expect that position to continue into next year. So, I don't expect those lives to impact our ability to be competitive and to win business and continue to show improvement in our sales performance. But as Heyward mentioned, we do have an overall set of economics that we have to manage in the business to make sure that we're rightsizing our operations to match the life count that we have.
Operator: Your next question comes from the line of William Reuter from Bank of America. Your line is open.
William Reuter: I recognize you probably don't want to say much here, but Hayward, in your prepared remarks, there were some pretty optimistic commentary about hundreds of opportunities to improve sales and scripts and our operating margins in fiscal year '24. Is it possible that EBITDA could actually be up next year despite a couple of these pretty large headwinds?
Heyward Donigan: Well, obviously, we can't comment on next year because it is too early, and obviously, we're not releasing guidance. All I can say is that we are facing headwinds, as you know, every year. And every year, we have to fill those gaps. And we did a very good job this year on a number of initiatives to fill both EBITDA cash gaps and reimbursement rate gaps, whether it's a combination of growth, which we're now seeing nicely and SG&A reductions and cash and debt actions. So Matt, I'll let you jump in. That's -- our goal now is to double the number of initiatives. And what that leads to from a next year point of view is TBD. Matt, anything else you want to add?
Matt Schroeder: No, nothing else to add, Bill. It's too early for us to be kind of putting a line in the sand on what EBITDA is going to be directionally. To Heyward's point, our job is to use this initiative process to work to do what we can on the headwinds, more to come when we give guidance.
William Reuter: Yes. I was expecting you to answer something like that. Okay. And then, Matt, you did bring up the opportunity to potentially close more stores. Is there any sense you can give us of what the negative EBITDA is of those stores which are not profitable at this point?
Matt Schroeder: Yes. It's not a number we've put out there to disclose, Bill. I think what I would tell you is there is an opportunity to close more stores. It's not nearly the size of the opportunity that we had this year. So, it's on a much smaller scale because we have done a pretty good job in the latest last store closure program of really pruning a lot of the unprofitable stores or at least unprofitable even with leases and drain in out of the fleet. So smaller than this year -- more to come as we go through.
Heyward Donigan: Yes. This is no longer our key focus. We've done what we needed to do. Everything else is either a large lease long-term lease that you don't want to vacate for dead rent or it's -- or these are stores that are on the bubble where if you can continue to see some of this growth that we are showing now, you could turn these stores into something profitable. That would be our primary goal.
William Reuter: Okay. And then just lastly for me. it's been pretty well publicized the challenges of shrink. I was wondering whether you've been able to make any recent changes that could lead to shrink actually declining on a year-over-year basis over the next year?
Heyward Donigan: Andre, can you comment on that?
Andre Persaud: Yes. Thanks, Heyward. What I would share first and foremost, as we think about shrink the safety of our associates and our customers is prioritized in how we manage this. And similar to others, we have seen a rise. It's organized crime driven. And to answer your question, what we're doing, we continue to be very, very involved working with our organized retail client team with local law enforcement and government to address. We continue to have a range of product protection opportunities in our stores, and that's how we're managing it at this point in time.
Operator: Your next question comes from the line of Carla Casella from JPMorgan. Your line is open.
Carla Casella: On the CMS receivable sale, that was nice to see in the quarter, do you still expect to do about $450 million to $500 million for the full year?
Matt Schroeder: Hey, Carla, thanks for the question. Yes, probably more like $450 million for the full year. So the build in the second half of the year is greater than what it is in the first half of the year. So, we've got a pretty sizable receivable is going to build through December that we'll be looking to securitize here before the end of the fiscal.
Carla Casella: And any change in terms as you look at that?
Matt Schroeder: Only change in term is that it's no change in terms. It's tied to SOFR. So, the interest is a little higher than it was last year, consistent with overall market conditions, but no change in terms other than that.
Carla Casella: Okay. Great. And then on your overall script count, can we just get an estimate kind of where it stands today? I think at year-end, it was $170 million on an equivalent basis.
Matt Schroeder: That's directionally correct. That's directionally correct on the non 30-day adjusted. So this is not adjusting for 30-day equivalents.
Carla Casella: Okay. And then I'm just curious, with the changes in the cost cuts you're talking about at Elixir how integrated are Rite Aid and Elixir at this point? I mean where does business overlap in terms of is there a shared overhead, warehousing? Or how do they interact on a customer basis?
Heyward Donigan: Yes. So, we did a significant amount of integration between Elixir and Rite Aid over the last three years. That's -- that was the first initial big body of work that we undertook. So, all of the corporate functions like HR and finance and legal and compliance all roll up into one leader within the Rite Aid enterprise. Regarding mail order and specialty procurement, we leverage the Company-wide procurement arm to purchase those prescriptions, which is part of how we get such good economics. And then, of course, Elixir in and of itself is undergoing a significant integration between the two PBM businesses that they have, and we call that Project Fusion. And that project, which will be complete over the next couple of years and is well underway is going to release additional synergies, economics, process improvements and savings. So consider those kind of the two big bodies of work, and I'm not sure if that answers your question fully.
Carla Casella: No, that's great. And then how you cut costs there, are there assets closures and asset sales that we could look to for potential proceeds as you're cutting costs as well? Or it's pretty much just an overhead analysis.
Heyward Donigan: Chris, do you want to answer that?
Chris DuPaul: Yes, I guess one piece of color I would put on it is, when you look at the performance of Elixir across the course of this year, it would be -- it would be misleading to say that it is entirely overhead and cost cutting. We certainly have done significant work throughout the year to streamline operations to take out SG&A and the right side according to the losses that we had coming into this calendar year. And we'll do those same types of actions as we go into next year to adjust the business. But the performance that you're seeing in Elixir from Q1 through Q4, is more heavily driven by the changes we've made in the overall operations and performance of the business, the procurement economics that we referenced earlier. And that's why you see the EBITDA margins climbing throughout the year, and that's why you see the EBITDA performance stacking up so well over prior year. It's not because we just ripped all the cost out of the business. It has much more to do with we're doing a better job operating the PBM and that delivers better value to our clients, and it delivers better value to our shareholders.
Andre Persaud: And Carla?
Matt Schroeder: Sorry, the only thing I would add, Carla, because I think part of what you're asking is about monetizing assets, really you think about like what we have Elixir between the mail order facility between the specialty pharma business and the Laker adjudication platform, those are all assets that really help us compete in the business and are very valuable to us. So, when I would think about assets to monetize for cash in the overall enterprise view, it's really more on sale leasebacks and any file sales we would do when we close a store.
Operator: And we have time for one more question. Your final question comes from the line of Karru Martinson from Jefferies. Your line is open.
Karru Martinson: So when we look at that 700,000 life loss here at the start of the new year, what is Elixir going to be standing at? And kind of what's the opportunity as you get part of those lives back in terms of live served?
Heyward Donigan: Chris?
Chris DuPaul: Yes. So as we move into 11 of this year, right now, we are coming in roughly around $2.3 million. So, we're forecasting that 700,000 life loss, and so you can do the math there. As we look forward, where I think we have the opportunity to gain that back. If you have to look at both sides of the business, you've got to look at the PBM side, in terms of our PBM services. And as Heyward mentioned, we're actively building our pipeline. We're looking forward to the upcoming selling season. The last year was very much a rebuilding year for us. We went into the season with a relatively new commercial team, and we had several gaps in critical areas, including sales and underwriting. And so as we move into the 2024 selling season, we filled many of the gaps, and we've also matured as a team. And so we're entering this year, I think, the stronger and more sophisticated organization. And so when we look at how we're going to go to market, we're spending a lot of time with the top consultants, but we're also creating sort of a clear road map for our sales function with a set of key milestones across the next year to significantly increase the live at the top of the funnel. Because if we look back on the prior year, we think that's one area where we really have the opportunity to grow lives to bring more opportunities from our target markets into the top of the funnel. When you move on to the Elixir insurance side of this, which is a significant portion, we've been very consistent over the last several earnings calls that the individual Part D market, which we participate in, is a very challenging market to be in as a stand-alone plan. And so, we've been very consciously managing the economics of that, making choices around how we manage that. And that's why you've seen the decline -- the steady decline in lives. On the flip side of that, we also participate on the EGWP side. And in contrast, we see the EGWP side of Part D is a much more attractive segment for us, both in terms of the margin and economics that are available, but also in terms of our position and our right to win their relative to large integrated health plans because our interest is clean and clear in managing the EGWP benefit. And so, I think what you'll see over time is we'll work to rebuild the PBM services side, focusing in our target markets. And then I think on the Elixir insurance side, we'll gradually over time, continue to make that shift from the individual market to the EGWP and supporting Medicare Advantage clients.
Karru Martinson: Okay. Last quarter of shrink was, I believe, like a $5 million headwind. What was it this quarter? And what are your expectations for fourth quarter?
Heyward Donigan: Matt?
Matt Schroeder: It was a $9 million increase quarter-over-quarter for third quarter. We haven't given a specific number for fourth quarter, but certainly, one of the components of us guiding down versus where we were last quarter as we do expect continued shrink headwind.
Karru Martinson: So year-to-date, it was $9 million or third quarter was $9 million?
Matt Schroeder: Yes, third quarter was $9 million. Third quarter is $5 million.
Karru Martinson: Okay. And then just lastly, there's been a lot of news of settlements with CVS, Walmart, Walgreens on the [opioid] front. Where are we today on that? And what are our expectations?
Heyward Donigan: Yes. So, we have settled about three states, critical states, West Virginia, Ohio and New York for nominal settlement numbers. So, we're pleased with that. We were not a part of the global settlement agreement that CVS, Walgreens and Walmart participated in. We were not invited to be a participant in that. I think they were going where the money is. And yes, it's framework now for global settlements for other companies like us, smaller companies. And we do anticipate that we will be a part of next ground of global settlements. When that is, we have no idea and how much we couldn't even comment.
Karru Martinson: All right then. Thank you very much. Appreciate it.
Operator: I will now turn the call back over to Ms. Heyward Donigan for some closing remarks.
Heyward Donigan: Thank you so much. Okay. Thanks for the questions. And I just want to close by thanking all of our teams for the work that they've done in this quarter, particularly the pharmacists and technicians across our organizations. The service associates and store managers in the store who have kept our customers happy and you can tell they're happy because we're taking share and growing the business. But more importantly, helping our customers achieve whole health for life, especially in these times of any kind of sickness seems to be ranging in this environment right now, not just COVID and flu. So, we want to protect our people, our teams, our customers, their children, their parents and their pets, each and every day. I would also like to congratulate the Elixir team for executing against an aggressive plan. And lastly, I want to thank our corporate associates who have shown incredible agility and ingenuity in identify and managing these new initiatives and the past initiatives, but more importantly, these hundreds of new initiatives for our future growth for our shareholders, for our customers and for our teams. Thank you for joining us today, and I wish you all a really happy and healthy holiday season.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.